Operator: Good day, and thank you for standing by. Welcome to the CCC Intelligent Solutions Fourth Quarter Fiscal 2023 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Bill Warmington, Vice President of Investor Relations.
Bill Warmington: Thank you, operator. Good afternoon, and thank you all for joining us today to review CCC's fourth quarter 2023 financial results, which we announced in the press release issued following the close of the market today. Joining me on the call are Githesh Ramamurthy, CCC's Chairman and CEO; and Brian Herb, CCC's CFO. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that may cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the earnings releases available on our Investor Relations website and under the heading Risk Factors in our 2023 Annual Report on Form 10-K filed today with the SEC. Further, these comments and the Q&A that follows are copyrighted today by CCC Intelligent Solutions Holdings Incorporated. Any recording, retransmission, or reproduction or other use of the same for profit or otherwise without prior consent of CCC is prohibited and a violation of the United States copyright and other laws. Additionally, while we will provide a transcript of portions of this call and we've approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in the transcripts. Please note that the discussion on today's call includes certain non-GAAP financial measures as defined by the SEC. The company believes these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends relating to the company's financial condition and the results of operations. A reconciliation of GAAP to non-GAAP measures is available in our earnings release that is available on our Investor Relations website. Thank you. And now, I'll turn the call over to Githesh.
Githesh Ramamurthy: Thank you, Bill, and thanks to all of you for joining us today. I'm pleased to report that CCC delivered another quarter of strong top and bottom-line performance to complete another record year in 2023. For the fourth quarter of 2023, CCC's total revenue was $229 million, up 12% year-over-year and ahead of our guidance range. Adjusted EBITDA for the fourth quarter was $100 million, up 25% year-over-year. And adjusted EBITDA margin was 44%, both also ahead of our guidance range. Revenue for the full year 2023 was $866 million, up 11% year-over-year and well above the high end of our initial 2023 guidance range. Adjusted EBITDA for the full year 2023 was $353 million and adjusted EBITDA margin was 41%, also well above the high end of our initial guidance range. We believe our strong performance is a result of growing interest in advanced digital solutions across the P&C insurance economy and the trust our customers place in us to deliver those innovations. Over the past four years, 2.5 as a publicly-traded company, we have grown our revenue by over 50%, almost entirely organically, from $570 million in 2019 to $886 million in 2023 with a Q4 run rate of over $900 million. Over the same time, we have grown our adjusted EBITDA by more than 100% from $170 million in 2019, a 30% margin to $353 million, a 41% margin in 2023. Q4 was the first time, we delivered $100 million in adjusted EBITDA in a quarter. Today. I want to focus on what we have done to position CCC for continued growth as we head into 2024. The first is delivering innovation to meet our clients' accelerating demand for AI-enabled solutions. The second is continuing to grow our multisided network. And third is investing in CCC's growth capacity and capabilities while continuing to expand margins. My first topic is the innovation we are delivering to meet our clients' accelerating demand for AI solutions. I've noticed a significant change in my conversation with clients for the past few months. While claims and repair cost inflation continues to be a concern, clients are increasingly turning their attention to the accelerating the retirement of their workforces. What we're hearing from customers is that they expect between one-third and one-half of their most experienced workers to retire before the end of the decade. What this means for our clients across the P&C insurance economy is that they are facing the loss of decades of institutional knowledge which will most likely result in a smaller, less experienced, and higher turnover workforce. Making the situation even more worrisome is that this labor shortage is taking place simultaneously with rapidly rising vehicle repair complexity. As a result, our customers need help closing the skill gap with new and existing workers quickly. These and other challenges are driving accelerating interest and adoption of AI-driven solutions across our client base. In 2023, CCC processed the highest number of auto claims in the company's 43-year history. On a cumulative basis, over 19 million unique claims since 2018 have now been processed using a CCC AI-enabled solution. And we have doubled the number of insurers using our AI-based Estimate-STP solution over the last year. AI took a large step forward across our portfolio in 2023 and we are well-positioned for additional advancement in 2024. For insurers. 2023 saw growth in our AI-based computer vision technology, not just in greater Estimate-STP usage, but in expanded input channels and use cases. First, we extend our Mobile AI from consumer self-service to the field adjusted channel. And in Q4, we broadened that even further with the introduction of First Look, solution designed to enable insurers to ingest and analyze photos from additional sources, including tow trucks, salvage providers, and more, so they can leverage AI more flexibly and comprehensively across the claims handling and appraisal process. We also introduced Impact Dynamics, which leverages AI computer vision capabilities to predict Impact severity from vehicle damage photos, enabling earlier and more accurate triage of potential casualty claims based on insurer rules among other applications. Significant investment in our AI-enabled subrogation solution has also generated strong momentum as we start 2024. Subrogation is the process, one insurer requesting payment from another insurer based on liability for a claim. Tens of billions of dollars in claims are subrogated each year in a highly manual paper-based process, costing insurers over $2 billion per year in loss adjustment expense. Customers using our solution have seen significant improvements in subrogation recoveries, and in the efficiency of their subrogation activities. And we added multiple new subrogation customers in Q4. For repairers, 2023 saw the introduction of two new AI-based photo solutions. The first was Repair Cost Predictor which enabled collision repairers to quickly provide a predicted repair cost range to consumers. The second was Mobile Jumpstart, which we launched in late Q4. Mobile Jumpstart uses AI to dramatically reduce the time it takes an estimator to generate an initial estimate. And since its introduction, more than 3,000 repair facilities have already used the solution with an average time to complete an initial estimate of less than two minutes versus the traditional industry average of half an hour or more. These innovations are simply transformational for a capacity-constrained industry like collision repair. At CCC our goal is to enable the digitization of the entire auto claims supply chain from first notice of loss, all the way through subrogation which we are advancing by providing solutions that allow our customers to digitize and automate ever more steps in the claims and repair process, eliminating waste, reducing cycle time and improving satisfaction for our customers and theirs. We believe that the fusion of our industry-leading AI, deep multisided network, and scalable multi-tenant platform positions us as the partner of choice for our client's digital transformation and for more and more of a claim's lifecycle to be processed using CCC solutions over time. My second topic is the continued growth of our multisided network. In 2023, we expanded our network of customers by adding over 1,000 collision repairers and over 500 parts dealers, while expanding our relationships with several key automotive OEMs. We are now approaching 30,000 repair facilities and 5,000 parts suppliers on the CCC network. We renewed and expanded multiple insurer relationships, including a top 20 carrier that is scheduled to roll out a full suite of auto physical damage solutions in Q2 of 2024, as well as several new casualty insurers. We have also expanded our ecosystem with leading technology and service providers, who increasingly see the value of connecting to the broader CCC network. CCC Diagnostics is a good example of the power of the CCC network in action. Since 2017, diagnostic, scanning, and calibration have rapidly become a common activity in collision repair. Everyone involved in resolving a collision has an interest in a quick quality repair and the CCC platform is helping the entire ecosystem navigate the advanced technology increasingly going into vehicles by introducing solutions designed to streamline the administration of these diagnostic, scanning, and calibration tests and to increase transparency and trust throughout this process. This multisided benefit helped increase the total volume of validated scans moving through CCC diagnostics by 80% year-over-year in 2023. The great thing about a multisided network, of course, is that its value to each participants grows as more participants join the network. And while we continue to add participants in our existing categories, we also plan to add new business categories to enable additional innovation across the CCC network. Our ability to do this is enhanced by the investments we have made in our IT infrastructure and AI capabilities and is a key enabler of growth and enhanced value to customers in 2024 and beyond. My third and final point is that we have invested significantly in CCC's growth capacity and capabilities while continuing to expand margins. During 2023, we invested across multiple dimensions of the business to enable the necessary components to scale our growth into a multi-billion dollar revenue company. I will highlight three of these components. Over the last two years, we have increased our product development capacity by over 30%, and have also significantly expanded our product design, product management, AI, and data science teams. This has resulted in an accelerated pipeline of new product introductions. In dollar terms, R&D spend increased to approximately $150 million in 2023, excluding stock-based compensation. In 2023, we completed the transition of tens of thousands of servers from a private cloud data centers to public clouds. This infrastructure provides the rapid scalability and redundancy needed to support our increasing new product velocity and positions CCC for continued growth. One critical benefit we have seen already is the elastic compute capacity for AI inference in deployment. We no longer need to be the business of buying and installing GPUs after doing that for a decade. And third component is that during 2023, we also continued to add and train new leaders and associates in our market-facing functions. This has resulted in us working even more closely with our customers to understand their evolving needs and test new solutions. We believe that our position as our customer's partner of choice for innovation is reflected in our 99% GDR for the year as well as our industry-leading net promoter score, which improved from 82 to 83 in 2023. We believe these investments help position CCC for our next leg of growth. And importantly, we were able to make these critical investments while delivering significant year-over-year margin expansion in 2003. We continue to execute on our strategic plan and mature as a public company. 2.5 years after going public, we have made significant progress in broadening our shareholder base and increasing the liquidity of our shares. Following the secondary offerings in November and January, our free float has increased by almost 60 million shares to about 50% of shares outstanding, a significant improvement in liquidity in just four months. In addition, we're able to improve our balance sheet efficiency to the targeted repurchase of 5% of shares outstanding using approximately $328 million in cash. Let me conclude by saying that we are incredibly proud of what our team accomplished in 2023. We are excited about what we have planned for 2024 and remain confident in our ability to continue to deliver on our strategic and financial objectives. I will now turn the call over to Brian who will walk you through our results.
Brian Herb: Thanks. Githesh. As Githesh highlighted, by investing in CCC's growth capacity and capabilities, delivering innovation to meet our clients' accelerating demand for AI-enabled solutions, and growing the multisided network, we are driving positive momentum across the business and reinforcing our confidence in our long-term growth outlook. We are pleased with our top and bottom-line performance, which reflects a balance between investment in growth initiatives and margin discipline. Now as we turn to the numbers, I'd like to review our fourth quarter and fiscal year 2023 results and then provide guidance for the first quarter and full year 2024. Total revenue for the fourth quarter was $228.6 million, up 12% from the prior year period. Total revenue for fiscal year 2023 was $866.4 million, up 11% from 2022. Approximately 9 points of our revenue growth in Q4 was driven by cross-sell, up-sell, and adoptions of our solutions across our client base, including repair shop package upgrades, continued adoption of our digital solutions, and the ongoing strength in casualty and parts. About 1 point of the 9 points came from one-time items in the year end true-up revenue above contractual commitments on our subscription contracts. An incremental 3 points of growth came from new logos, mostly in our repair facilities and parts suppliers. I also want to highlight that we saw about 1 point of growth contribution in Q4 from our emerging solutions, mainly Diagnostics and Estimate-STP. Now turning to our key metrics. Software gross dollar retention or GDR captured the amount of revenue retained from our client base compared to the prior year period. In Q4 2023, our GDR was 99%, which was up modestly from 98% last quarter. Please note that since the first quarter of 2020, our GDR has been between 98% and 99% and is rounded up or down, primarily driven by repair shop industry churn. We believe our software GDR reflects the value we provide and the significant benefits that accrue to our customers from participating in the broader CCC network. Our strong GDR is a core tenant of our predictable and resilient revenue model. Software net dollar retention or NDR captures the amount of cross-sell and upsell from our existing customers compared to the prior year period, as well as volume movements in our auto physical damage client base. In Q4 2023, our NDR was 108%, up from 107% in the last couple of quarters. Now I'll review the income statement in more detail. As a reminder, unless otherwise noted, all metrics are non-GAAP. We've provided a reconciliation of GAAP to non-GAAP in our press release. Adjusted gross profit in the quarter was $181.5 million. Adjusted gross profit margin was 79%, up from 78% last quarter and 77% in the fourth quarter of 2022. The stronger year-over-year adjusted gross profit margin primarily reflects operating leverage on incremental revenue. Overall, we feel good about the operating leverage and the scalability of the business model and our ability to deliver against our long-term adjusted gross profit margin target of 80%. In terms of expenses, adjusted operating expense in Q4 of 2023 was $90.8 million, up 7% year-over-year. This was mainly driven by investments in our customer-facing functions as well as higher IT-related cost. In the quarter we also benefited from a $3 million one-time insurance claim reimbursement. Adjusted EBITDA for the quarter was $100.1 million, up 25% year-over-year, with an adjusted EBITDA margin of 44%. Now turning to the balance sheet and cash flow. We ended the quarter with $195 million in cash and cash equivalents and $784 million of debt. At the end of the quarter, our net leverage was 1.7 times adjusted EBITDA. Free cash flow in Q4 was $75.1 million compared to $72.4 million in the prior year period. Free cash flow for the full year 2023 was $195 million, up 28% year-over-year. Our free cash flow margin in 2023 was 23% compared to 19% in 2022. Unlevered free cash flow in Q4 was $85 million or approximately 85% of our adjusted EBITDA. For the full year 2023, unlevered free cash flow was $235 million. 67% of our adjusted EBITDA on a reported basis. While our level of free cash flow can vary quarter-to-quarter, we expect it will continue to average out in mid-60% range of our adjusted EBITDA. I'd now like to finish with guidance, beginning in Q1 2024, we expect total revenue of $224.5 million to $226 million, which represents 10% growth year-over-year. We expect adjusted EBITDA of $90.5 million to $92 million, 41% adjusted EBITDA margin at the midpoint in Q1. For the full year 2024, we expect revenue of $942 million to $950 million, which represents 9% to 10% year-over-year growth. We expect adjusted EBITDA of $387 million to $395 million, which represents 41% adjusted EBITDA margin at the midpoint. So, three points to keep in mind as you think about our first quarter and full year guidance of 2024. The first point is that we saw broad-based strength across insurance in Q4 last year, including revenue from our above contractual commitments. This can vary quarter-to-quarter. As a result, we expect total Q1 2024 revenue growth to be up 10% year-over-year. But this is down sequentially in absolute dollars. The second point is that the emerging solutions, which contributed about one point of growth in 2023 and we expect that level of contribution from the upsell and cross-sell of these emerging solutions to be a larger contributor of growth in 2024 as these solutions continue to scale. The third point is that, as in prior years, we experienced some seasonality in our year-over-year adjusted EBITDA margin with the second-half levels being above the first-half. We expect 2024 to be consistent with this pattern with the first half margins being constrained by the reset of employee-related expenses and the cost of our industry conference, along with the absence of the $3 million insurance benefit that we recognized in Q4 of last year. We therefore see the starting point of our year-over-year adjusted EBITDA margin expansion against our full year 2023 margin of 41%. Overall the strong trends we're seeing in renewals, relationship expansions, and the new solution adoption reinforces our confidence in the underlying strength of the business. The combination of our durable business model, advanced AI capabilities, the interconnected network, and the broad solution set, puts us in a unique position to help our customers in the P&C insurance economy, reduce cycle times and administration costs while improving their consumers' experience throughout the claim process. The need for digitization across the P&C insurance economy continues to accelerate and CCC is well-positioned to drive durable growth in both revenue and profitability in the near and long-term. We are confident in our ability to deliver against our long-term target of 7% to 10% organic revenue growth and adjusted EBITDA margins expanding in the mid-40s. We've delivered over 1,000 basis points of margin expansion in the last four years while investing in innovation to support our growth ambitions. And we will continue to balance investments and margin expansion going forward. As we continue to execute on our strategic priorities, we believe we will generate significant value for both our customers and our shareholders. With that, operator, we are ready to take questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Alexei Gogolev with JPMorgan. You may proceed.
Alexei Gogolev: Thank you, and hi, Githesh. Hi, Brian, congratulations on great results. Brian, I've noticed the record high gross margin that you delivered in the fourth quarter of 79%. I was wondering if there were any nonrecurring revenue items that have boosted gross margin, perhaps maybe similar to what you had in the fourth quarter of '21.
Brian Herb: Yes. Hi, Alexei. Yes, we -- the point to highlight on the stronger gross profit. We do have the year-end true-ups that happen each year. So that is, volumes exceed the contractual commitments of our clients. And so we recognize that excess volume. They're not material to the total revenue position, but they do largely come together in Q4, and that drives a stronger gross profit. And you can see that in the number. That said, we're happy with the progress we're seeing on gross profit across the year, and that's really being driven off the operating leverage within the business.
Alexei Gogolev: Okay. Perfect. And Githesh, I was wondering if you've considered expanding your ecosystem beyond the existing components. Obviously, you dominate the P&C insurance in automotive. You have high market share in repair facilities, obviously, the very strong presence in the supplier side. Have you considered expanding into, for example, automotive dealerships? And does that make sense in terms of a logical step in your evolution?
Githesh Ramamurthy: Hi Alexei. We know -- one of the things that we are doing right now is with all of these new product introductions, we feel we've got a number of runways with our existing customers and the ecosystem we build, still a lot of room for expansion with the dealers, continue to bring additional capabilities with OEM partners. And as you know, we have a pretty deep presence with insurers, repairers and the like. And then we've also, as we look at expanding further with solutions, like First Look, that'll connect to broader parts of the ecosystem, and that is something we're continuously looking at to expand into the network, but they will be more along the lines of the product introductions that help connect and drive those expansions.
Alexei Gogolev: Okay. Thank you, Githesh.
Githesh Ramamurthy: All right. Thank you, Alexei.
Operator: Thank you. One moment for questions. Our next question comes from Samad Samana with Jefferies. You may proceed.
Samad Samana: Hi, good evening. Thanks for taking my questions. Great to see the strong close to 2023. Githesh, maybe first on the AI solutions. I know you guys have offered AI-enabled products for several years, but it sounds like maybe the interest level, usage and scope of what your customers are willing to think about when it comes to AI is expanding. So I know you just mentioned several additional products like Impact Dynamics and First Look, but how should we think about maybe the new product velocity, given that there's increased interest from customers than in -- is the path to monetization pretty clear there for you guys as well?
Githesh Ramamurthy: Hi, yes, just a very quick update on what we're seeing is that the trend that I pointed out on the call that the -- our customers are seeing, as turnover increases and the skill level as people retire, at the same time, take something like subrogation as an example. You might get a 200-page document that somebody has to analyze and with the AI capabilities that we've built that are very specific to those documents and what we see, we can literally reduce the time to extract information, help them make the right decisions from literally hours to a matter of seconds or minutes. So when people actually start using it, testing these capabilities and these have to be also built in the existing workflows that people are already using, so we are seeing greater and greater acceptance across the board. But like every other solution we deliver, they also have to deliver ROI. So I'd give you -- so what we've also done is with the visual AI capabilities, with very, very deep IP that we have built along the photo AI capabilities, we have expanded to a range of solutions, both for the insurers, the repairers, like Jumpstart, Repair Cost Predictor, Impact Dynamics, First Look and then in Subro as well. But the appetite -- customers continue to be more and more interested.
Samad Samana: Great. And if I can ask maybe, Brian, a follow-up question. I was just looking at the starting point for guidance last year. It was slightly more modest. You're starting at 9% to 10% this year. I guess, any change to either the way you thought about the guidance build up? And is it primarily due to the expected contribution of the newer products being more, or is there anything else that we should think about in how that starting point guidance is built up?
Brian Herb: Yes, sure. So we are in the long term range of 7% to 10%. The guide as we start the year is at the upper end of that range, as you suggest, 9% to 10%. I would just say we're looking at the momentum and the progress we're seeing across the business, both with the established solutions and the emerging solutions. So we did eleven points of growth in the second half. We did twelve points of growth in Q4, although one point of that growth within the quarter was really linked to these true-ups, which are a bit exceptional in the quarter. So it's really the velocity and the progress across the solution set that gives us confidence both for the Q1 guide at 10% and then the full year position.
Samad Samana: Great. Thanks again, guys.
Githesh Ramamurthy: Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Gabriela Borges with Goldman Sachs. You may proceed.
Callie Valenti: Hi, this is Callie Valenti on for Gabriela. First one for me is CCC has continued to invest such that you always have this ramping group of emerging products that are able to kind of start and support growth. You talk about now having kind of a lot of shots on goals with those products. But just longer term, how do you think about the limits of how much customers are willing to pay a single vendor and kind of where you sit relative to other spend at insurers versus just other vendors?
Githesh Ramamurthy: Hi, Callie. Hi. First, let me give you a quick historical perspective, having been here for a long time, right? Most of the products that we deliver, revenue from today, almost all the revenue we reported last year, $866 million, I remember most of those revenue lines being at or close to zero at some point or the other. So that long history has taught us that as long as we can deliver very high ROI to our customers on the additional solutions that we deliver, and it solves problems in a very unique sort of way, integrated into their existing workflows, quick to deploy, easy to use, supported with incredible service and analytics, I think that formula has actually worked very well for us, and we have the benefit of actually, when we build these new solutions, we are blessed with some fantastic customers who push us really hard in terms of what they need and what they would like us to develop. So many of these solutions are actually built in -- working very closely with customers. So that's what gives us confidence in that we can continue to grow and build.
Callie Valenti: That makes a ton of sense. Thank you. And then just follow up for me. Do you see the true-ups that you have in 4Q causing customers to expand their contracts for the next year when it seems like maybe volumes going through are just higher?
Brian Herb: Yes, there's some mix elements in it, Kelly. But yes, I mean, we look at the true-ups. I mean, at the end of the day, the clients want to get as close as they can to the pin to minimize the true-ups where there's volatility. They prefer to budget kind of in a more even, linear way. So when the contracts get set, it really is trying to set it at the closest level to where they expect to go. But we still have that natural true-up that happens each year just because there is volatility in the volume, especially around customer mix. So it is a part of the business. As I said before, it's not a material part. When you look at the overall revenue and how much the true-ups are, it's very immaterial. It just comes together at year end.
Callie Valenti: Thank you and congrats.
Githesh Ramamurthy: Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Kirk Materne with Evercore ISI. You may proceed.
Peter Burkly: Yes, hi, guys. This is actually Peter Burkly on for Kirk. I'll echo my congrats on a strong quarter. So just one for me. I sort of want to stick on the topic of the emerging solutions, but specifically Estimate-STP. So I believe last quarter you talked about sort of a strategic move you had made where sort of to expand the TAM tempo at Estimate-STP, expanding it beyond just that 30% Mobile self-serve channel and expanding it into the repair facility and field adjuster channels. So I'm just curious in light of that sort of continued evolution of the product, if you could just discuss the broader pace of adoption you're seeing for Estimate-STP today and maybe how that sort of plays into what seems like a higher implied guide for next year in terms of contribution from the emerging solution.
Githesh Ramamurthy: Sure. Peter, first and foremost, what we see is originally we started focusing Estimate-STP on only the Mobile channel where the consumer is processing the claim in a self-service manner using a mobile phone. And our AI was starting right at that point, that's roughly 30%. And we had been working hard to continue to rev the models, improve the models, and there we -- what we said is that even in Q4, we now added significantly more insurers. And so more and more carriers are coming on stream. Carriers who are using it for a very small fraction are rolling out to more states. On an aggregate basis, it's still relatively low percentages even today. And then we have literally a few weeks of experience now having put it out in the repair facility market, maybe a couple of months or so, maybe a month. And we've already seen several thousand repair facilities -- by the way, just as a reminder, repair facilities are roughly 45%, the direct repair network in terms of how claims are run through and managed. And there we have seen, anecdotally volumes are small, but instead of taking 30 minutes to write an initial estimate, we can see that Jumpstart, for example, writes an estimate in about two minutes. It still requires some tweaking and making sure it's in final, final form. But we are seeing a significant amount of excitement. It's the first major change in how repair facilities work and write an estimate for a vehicle. And -- so, we are -- we feel very good about the technology. We feel very good about the revs that we have made, the improvements we're seeing. And in fact, we've now expanded that to First Look, which is a newer solution that can take photos from literally any channel, whether it's a tow truck or a salvage, and actually inform more pieces of the process. So we -- so bottom line is we feel very good.
Brian Herb: And Peter, the second part of your question, you asked about the contribution from emerging solutions. So in '23, it was one point of the total growth percent. We do expect that to step up this year and then continue to scale going forward. So over time, within our long term target, we talked about 40% of the growth coming from emerging solutions. So from the one point we saw last year that continues to -- we'll continue to scale and move towards those long term targets.
Peter Burkly: Very helpful. Thank you, both.
Brian Herb: Thanks.
Githesh Ramamurthy: Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Tyler Radke with Citi. You may proceed.
Unidentified Analyst: Hi, this is Peter on the line for Tyler Radke. I just had one question here in regards to renewals. Just looking back at the last few insurance premiums and repair costs for motor vehicles, that's trended like at the top of the list. I'm just curious what approach you guys have had in terms with the negotiating contract renewals with your customers. Would you say there's been more leverage on your end in terms of negotiating the price of the contract?
Githesh Ramamurthy: I would not say that there is any material difference in how we have worked with customers. I mean, we've worked with our customers for decades and formula is pretty straightforward. As we add new solutions, each of them has an ROI. These are mission-critical tools for our customers and these are long standing relationships. So I would not say that there's been any material change one way or the other.
Brian Herb: Yes. I would just add. We do continue to look at the package offerings that we take to our customers and we consider, as Githesh said, the ROI and ensure we're balancing the benefits the customers get from the solution and also make sure that we're getting our fair value. Obviously, inflation has been felt across the industry and we consider that as we think about the packages and the pricing within those packages.
Unidentified Analyst: Thanks. And then just as a follow-up, too. You said cross-sell and upsell is going to be like a larger contribution of growth in fiscal year '24. Is there any way to quantify how much of that would be from established solutions versus emerging solutions?
Brian Herb: What we've talked about in the long term guide is that -- we talk about 7% to 10% organic growth. In the long term guide, we say 20% of that will come from new logos. And then we say the balance comes from cross-sell and upsell. And then what we've done is we've broken that in half and said half of that will come from the established solutions that have been in market for several years, and the other half will come from these emerging solutions. So that's how we've broken it out over the long term and we'll continue to progress towards those longer term metrics.
Operator: Our next question comes from Saket Kalia with Barclays. You may proceed.
Saket Kalia: Okay, great. Hi, guys, thanks for taking my questions here, and nicely done, Brian, maybe I'll start with you. Great to hear that emerging is going to be a bigger driver of growth in 2024. Maybe just to make sure that the question is asked, as that becomes a bigger part of the business, are there any things that we should keep in mind from just a margin perspective? Like are the margins on the emerging products significantly different than what I'll call the core part of the portfolio?
Brian Herb: Yes, good question. Saket. So over time, when the emerging solutions get to scale and are mature, they will have similar margin characteristics of the established solutions we have today. So they will have very high drop through. We don't see really differences. I think right now, as they're just starting to scale, there is margin dilution just as they get rolled out in the support cost, we start to amortize them as they come into market. And so the cost will be ahead of some of the revenue until they get to scale. But as I said, once they get to scale and start to mature, the margin characteristics will look like the established solutions we have today.
Saket Kalia: Got it. Got it. That makes sense. Githesh, maybe for you, maybe just to switch gears a little bit, I was wondering if you could talk about the casualty business a little bit and sort of how you view that going into 2024. There's such an enviable position in APD among the top 20 carriers in particular, what sort of pipeline do you sort of see for more cross-sell with casualty into that top 20 base? Does that make sense?
Githesh Ramamurthy: Yes. And I'll just give you a quick, even in Q4, we saw the addition of a number of casualty customers. We had a number of casualty customers in 2023. With that said, the number of our APD customers that are using our casualty solution is still relatively small. So we have continued to expand our casualty solutions. We're seeing good uptake from customers. And then what's also -- what we also see is industry-leading, first-of-its-kind solutions like Impact Dynamics, which takes the physics of an accident, the 3D physics of an accident, and imputes potential for injury, and provides early warning to which claims may need more attention and the like. So those are also being well received. Again, that is something that does not exist in the market at all. So both in terms of traditional casualty solutions as well as completely new state-of-the-art casualty solutions with AI. So we're continuing to see good adoption.
Saket Kalia: Makes sense.
Githesh Ramamurthy: So feel good about the long-term prospects?
Saket Kalia: Now, absolutely. Thanks, guys.
Brian Herb: Thanks. Saket.
Githesh Ramamurthy: Thanks, Saket.
Operator: Thank you. One moment for questions. Our next question comes from Dylan Becker with William Blair. You may proceed.
Dylan Becker: Hi, guys, really nice job here. Maybe two for Githesh, just from a high level, thinking about the hardening auto market, kind of what the implications of that mean for insurance carriers, how they think about kind of factors and complexity impacting their business, and maybe how that incentivizes or unlocks some capacity to drive incremental investment around digital and kind of data-driven initiatives or opportunities.
Githesh Ramamurthy: Yes, I think what we have seen is that the shock to the system that we saw in 2022 in terms of increased costs of parts and labor cycle time increases, so that drove significant increases, more so than anything we'd seen over the last decade. So while those increases took place in '22, and then what we saw towards late '23 is those increases are a little more moderate than the extreme that we saw in '22 and '23. And so customers have now looked at that capability. And also our customers tend to view things over a long horizon. They don't -- yes, while there are some challenges in the short term, our customers also see over the next three years and five years, and we've had many conversations with many of our customers who see fundamentally new ways of configuring their operations, using new technology and different technology to change the process and to do things very differently. And - so, I do think there's a stronger appetite that we see from our customers to adopt change processes, especially when you see significant improvements.
Dylan Becker: Okay, got it. That makes a ton of sense. And then maybe that's a good segue to thinking about the Impact Dynamics offering and maybe how carriers are thinking about the convergence of those APD and casualty workflows by connecting more of that early stage data. Maybe those solutions operated independently in the past, but are you seeing kind of more of that convergence coming into play in those lines, kind of blurring, obviously creating some longer term opportunity as you think about that cross-seller attach as well? Thank you.
Githesh Ramamurthy: Well, over the long term, the answer is yes. In the short term, Impact Dynamics can work for any customer, regardless of what traditional casualty solutions they're using. So I would say there's probably a quicker ramp for something like Impact Dynamics, and the linkages are increasing that the more of these components that can work together to let you manage the entire ecosystem of a claim from end to end, from loss -- from the first notice of loss, all the way through settlement. And that's really where I think we differentiate ourselves in that we are in those workflows. We have applied artificial intelligence very heavily and we've continued to build out the ecosystem. So that's kind of how we see it playing out.
Dylan Becker: Very helpful. Thanks, guys. Congrats again.
Operator: Thank you. One moment for questions. Our next question comes from Josh Baer with Morgan Stanley. You may proceed.
Josh Baer: Great. Thanks for the question. The upside in the quarter was higher than typical, even after adjusting for the true-ups. So I was just wondering, were the results in line with your expectations, like with this adjustment or anything specific to call out that positively surprised you versus your internal plan?
Brian Herb: Yes. Hi, Josh, it's Brian. Yes, so we were really happy with the performance in the quarter. So 12 points, and even when you normalize the year end true-ups and the one-off revenue, that was a point. So it was 11. And as you said, it came in a lot stronger than we had put out in the guidance. I'd say it was broad-based. So we saw strength across many of our APD clients. We saw strength in casualty. We saw strength in parts. Very good ASG. So on the repair facility, up-sells and upgrades into packages. So there's nothing really one area to highlight as kind of the driver for the overperformance. It was a very broad-based set of results, really across the portfolio. So we were pleased with the performance overall.
Josh Baer: Great. And one on the repair facility opportunity, obviously a lot more that you can sell back into your base. But wanted to ask about the penetration as far as new repair facilities. Like where are they coming from? What's the profile of that repair facility? Are they -- are those new customers spending like more or less than average? Just wondering for some more context there and if like 1000 per year is still a good number to think about going forward.
Githesh Ramamurthy: Yes, a couple of things. So first, when I look back in 2010, we probably had about 20,000 repair facilities. We're now clicking towards pretty close to 30,000 repair facilities. And then when you look at how many of our repair facilities used one or two solutions, right, even as far back, even a few years back, we only had repair facilities using two or more of our solutions, about half of them. Today, I would say, just three, four years later, we see that half of our repair facilities are using four or more of our solutions. So there's a large install base, and as we continue to deliver new solutions that really help them with their business, as they have capacity issues and trying to look for more efficiencies, so that's really one very important path. Back to your second part of your question. We do feel good about continuing to add repair facilities at the rate at which -- at the rate at which you saw. Our estimate is there's probably roughly 40,000 repair facilities in the industry overall, and we still think there is ways to go to continue to grow.
Josh Baer: Okay. Thank you very much.
Operator: Thank you. One moment for questions. Our next question comes from Mike Funk with Bank of America. You may proceed.
Matt Bullock: Hi, Githesh and Brian, this is Matt Bullock on for Mike Funk. I had a quick one on Estimate-STP. Are you seeing a material improvement in Estimate-STP functionality as volumes have ramped with customers and you continue to fine tune those models? And if so, can you help us quantify it? And then secondarily, has this led to a sort of flywheel with adoption? Thanks.
Githesh Ramamurthy: Yes, I would say initially we had restricted it way back to private passenger vehicles. We added pickup trucks. Then we restricted it to front impacts and back impacts. Now we've opened it up for side impacts. We've extended it across all the models. The accuracy is significantly better. We're making more parts predictions, more subtle, very subtle damage versus obvious damage. So the feedback loop we have with really the scale of the feedback loop and the size of the data set we have with both photos coming in and repairs and estimates flowing through, has really allowed us to improve quality substantially. And that's helped customers continue to expand to more and more states. And as well as from a reference standpoint, there have been great references to other customers continuing to expand. So we just see that adoption continuing to happen. And in terms of....
Brian Herb: Yes, so I mean, as far as the -- it's Brian here. As far as the claim volume, we are still, even though, as Githesh said, we're making progress with new clients on and the expansion of those existing clients, we're still at low rates. So if you think about kind of the total claims that are coming through, we're still in the single digit percentages. But as we sit here today, we feel really good about the opportunity that we've talked about in the medium-long term, as we think about the overall opportunity for Estimate-STP.
Githesh Ramamurthy: And this levels the runways that we have across all of our different solution sets, is that even if you look at how we delivered Q4, much of that growth came from products and solutions that have been around for a long time. So we see all of these new solutions we're developing to have fairly long runways in terms of growth.
Matt Bullock: Super helpful. Thank you.
Brian Herb: Thanks.
Operator: Thank you. One moment for questions. Our next question comes from Chris Moore with CJS Securities. You may proceed.
Unidentified Analyst: Hi. This is [indiscernible] on for Chris Moore. Congrats on a great year. Free cash flow margin has increased from 19.4% in '22 to 22.5% in 2023. And based on your adjusted EBITDA guidance, it seems to be heading quickly into the mid-20s range. Can you give us any more color on how to think about this metric in 2024 and beyond?
Brian Herb: Yes, good question. Yes, you're thinking about it the right way. I mean, it is -- we're generating strong free cash flow. We've seen it progress from 19%, 23% last year. When you do the math that you just did and you look at the EBITDA and our unlevered free cash flow guidance that we've given out, which is roughly in the mid-60s of unlevered free cash flow to EBITDA, you get to the mid-20s. So you're doing the math right. We're certainly just seeing as the revenue scales and the strong free cash flow that this will continue to grow. And so we feel really good on that performance and the opportunity in front of us with it.
Unidentified Analyst: All right, that's all I have. Thank you very much.
Brian Herb: Thank you.
Githesh Ramamurthy: Thank you.
Operator: One moment for questions. Next question comes from Shlomo Rosenbaum with Stifel. You may proceed.
Adam Parrington: Hi, it's Adam Parrington on for Shlomo. Could you talk a little bit about how payments adoption is progressing? I believe last quarter you mentioned adoption was tracking a little bit slower than subrogation and Estimate-STP, given the higher than expected complexity around the buildout of specific customer use cases, are those buildouts complete now and just kind of just general thoughts on how payments are trending? Thanks.
Brian Herb: Yes, I would just say that it is slower than the other products that you're seeing. This is why we have a mix of a broad set of portfolio of solutions we have, because the adoption rates will vary. But at the very fundamental level, what we are seeing and the work we're doing with customers is that many of the problems we saw with payments in the claims process have not been solved. And so the problems and the complexities are there. Our product has improved. The breadth of what we've built has improved, and we just think it'll take a little longer.
Adam Parrington: Okay, thanks.
Operator: Thank you. I would now like to turn the call back over to Githesh Ramamurthy for any closing remarks.
Githesh Ramamurthy: Hi, I just want to take the opportunity to thank everybody for your interest in CCC. I also would like to take the opportunity to thank the broader CCC team for incredible delivery in 2023 and our customers for their trust and the confidence they have in us as we go forward. And we remain very excited about the opportunities in front of us. And again, thank you all for joining. And we look forward to giving you updates as we go forward.
Operator: Thank you for your participation. You may now disconnect.